Cinemark Holdings, Inc. (NYSE:CNK):
Executives: Nikki Sacks - Investor Relations Alan W. Stock - Chief Executive Officer Robert Copple - Chief Financial Officer, Executive Vice President, Treasurer, Assistant Secretary 
Analysts: Hunter DuBose - Morgan Stanley Eric Handler – Lehman Brothers Barton Crockett – JP Morgan Securities, Inc.
Operator: Good afternoon. My name is Jamaira and I will be your conference operator today. At this time, I would like to welcome everyone to the Cinemark’s fourth quarter earnings conference call. (Operator Instructions) Thank you. I would now like to turn the call over to Ms. Nikki Sacks. Please go ahead, ma’am. 
Nikki Sacks:  Thank you and welcome to Cinemark’s fiscal fourth quarter and full year 2007 earnings call. Before we begin, let me remind you that in the accordance with the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, the company knows that certain matters to be discussed by the members of the management during this call may constitute forward-looking statements. Such statements are subject to risks and uncertainties and other factors that may cause the actual performance of Cinemark to be materially different from the performance indicated or implied by such statements. Such “risks factors” are set forth in the company’s SEC filings.  Today, Cinemark’s CEO, Alan Stock and CFO, Robert Copple will be discussing the fourth quarter and full year results. I will now turn the call over to Alan.
Alan Stock: Thank you, Nikki. On today’s call, I will comment on the industry and Cinemark’s fourth quarter and full year 2007 result, the outlook for the upcoming films and provide an update on Cinemark strategy. During the fourth quarter, Cinemark’s admission revenues increased from $246 million for 2006 to $252 million in 2007 leading to an increase in total revenue. The company’s increased in revenues were primarily the result with a 7.5% increase in average ticket prices and a 7.3% increase in concession revenues per patron for the quarter. We generated adjusted EBITDA for the quarter of $83.8 million. With the anniversary of our Century acquisition occurring in October, the data for the 2006 and 2007 quarter reflect comparable full circuit performance. The quarter started soft with a soft October but finished very strong in December with products such as ‘I am Legend’, ‘Alvin and the Chipmunks’ and ‘National Treasure 2’ driving an industry increase in box office for December of approximately 6.2% as reported by various industry sources. During a time when most retailers where beginning to experience the impact of an economic slowdown, our industry generated increases reflecting the defensive nature of our industry. Historically, the theatre industry is spared during difficult economic times as going to the movies is a relatively inexpensive form of entertainment as well as an escape for many people. Industry wide box office revenues have increased in four of the last six recessions. A different take factor for Cinemark is the diversity provided by our international operation. During the fourth quarter, our international operation posted an increase in revenues of 20% and adjusted EBITDA was up 36% propelled by product and new theater opening. Turning to our full year results, the industry continued to register year over year growth with box office up approximately 5.4% based on industry information. For Cinemark, it was a busy year. In addition to successfully completing our IPL in April, Cinemark was able to deliver consistent revenue growth and industry leading financial performance in 2007 due to our continued focus on organic expansion in domestic and international market, the integration of our Century Theatres acquisition and the efficient operation of our theatres. We also introduced a regular quarterly dividend as seen in 2007 equivalent to 72 cents per share annually per yield of over 5% based on yesterday’s closing stock price. In 2007, we also participated in the IPO of National CineMedia. We currently on approximately 14% of CNM and will best benefit from the growth in NCM’s revenue and EBITDA as it expands its national digital network and as advertising spending continues to shift to cinema and other emerging digital advertising platforms. Our revenues for the year were up 38% to $1.68 billion and adjusted EBITDA increased 38.8% to $376.9 million. We continued our organic growth strategy during the year, opening 13 theatres with 201 screens in our domestic market and 7 theatres with 56 screens internationally. In 2008, the 1st quarter industry box office got up to a stronger than expected start of approximately 21% for the first 7 weeks through February 11 driven by films such as ’27 Dresses’, ‘The Bucket List’, ‘Cloverfield’, ‘Juno’ and the ‘Hannah Montana Concert’. The box office for the last part of the quarter is more challenging with comparisons against ‘Wild Hogs’, ‘300’ and ‘Ghost Rider’. However, the start of the quarter has been more favorable than many people anticipated last year. The remainder of the 2008 flight features a steady flow of solid films including the next installment of ‘The Chronicles of Narnia’ and ‘Indiana Jones’ in May, DreamWorks’ ‘Kung Fu Panda’, Universals’ ‘Incredible Hulk’ and Disney-Pixar Film ‘Wally’ in June. The next installment of ‘Batman’ called ‘The Dark Knight’ in July and in November the sequel to ‘Madagascar’, the next James Bond’s film called ‘Quantum of Solace’ and the second to the last Harry Potter film, ‘Harry and the Half-Blood Prince’. Overall, we expect industry box office to be flat with the 2007 as we face particularly difficult calms in the 3rd quarter. However, we are approaching the remainder of the line up with 2008 with a positive bio. In terms of our organic expansion strategy, we believe there is opportunity to realize strong returns in our invested capital by continuing our expansion both in our existing market and into new one. We currently have signed commitments to open 13 new theatres with a 147 screens during 2008 and open 5 new theatres with 78 screens thereafter. We will continue to seek select high quality editions and we will evaluate acquisition opportunities. This growth is focused on both international and domestic market. Turning to our digital cinema initiative or DCIP with joint venture between Cinemark, AMC and Regal, negotiations are currently underway with financing sources and the studio. We anticipate that these negotiations will be concluded in order for us to begin the rollout phase by the second half of the 2008. As with any financing these days, the market may make it more difficult. However, we remain optimistic regarding the timing. We are excited about the potential for digital cinema and we are continuing to test and prepare for this rollout and ensure smooth and efficient deployment and implementation from a technological and operational perspective once the agreements are finalized. We are optimistic about the future growth opportunity of 3D films and other 3D content. We have recently seen an increasing support of 3D films by the major studios. DreamWorks recently announced that they will produce all future animated films in the 3D format. In 2009, we expect 3D films such as ‘Monsters vs. Aliens’, ‘Ice Age 3’ and ‘Avatar’. In addition, Disney plans to re-release the first ‘Toy Story Movie in 3D’ in October of 2009, ‘Toy Story 2 in 3D’ in February of 2010 and Premiere ‘Toy Story 3 in 3D’ in June of 2010. The recent success of ‘The Hannah Montana’ concert is another great example of the potential for 3D content, setting a record opening for a film release on less than a thousand screens and a record overall growth on ‘Super Bowl weekend’. 3D films are attractive for exhibitors because we can generally charge a premium per attendee which will help boost our future ticket price growth. Since digital is a prerequisite to 3D, our 3D rollout will follow our digital rollout strategy. We plan to have our entire circuit converted to digital cinema and be 3D compatible in approximately 3 to 4 years. In summary, I am pleased with the progress that our company made in 2007 delivering strong and competitive operating result. We continue to focus on delivering industry leading operating result and organic expansion in high growth market. In the face of a weakening economy, we are fortunate to operate in an industry that provides when the lowest cost forms about a home entertainment and that has exhibited resilient growth in the past recessionary period. We will remain dedicated to improving our profitability developing our new theater price line in positioning our selves to capitalize on industry innovations such as digital and 3D in order to return value to our shareholders over the long term. And with that, I will turn this call over to Robert to discuss the quarter in more detail.
Robert Copple: Thanks Alan. I will review our fourth quarter and full year financial performance in more detail and discuss our balance sheet. During the fourth quarter, we increased our admission revenue 2.6% to $252.4 million and our concession revenues 2.7% to $118.6 million. As a result, our total revenues increased $1.8 million to $393.3 million. This increase was driven by a 7.5% increase in average ticket price and 7.3% increase in concession revenues per patron, partially offset by a 4.5% decline in attendance compared to the fourth quarter of 2006. On a segment basis for the quarter, our US operations generated admission revenues of $207.5 million which were flat with 2006. Our total revenues were $317.6 million with a decline of 3.3% versus 2006. This decline reflects the impact of the change in our other revenue attributable to advertising revenues received from National CineMedia as a result of the modification of our exhibitors service agreement associated with their IPO. Our international operation has generated admission revenues to $44.9 million which were 16.6% higher than 2006. Total international revenues increased by 20% to $75.7 million. On a consolidated basis, our film rentals and advertising costs was $135.5 million for the fourth quarter of 2007. As a percentage, this represents an increase of approximately 45 basis points to 53.7% of admission revenues. Concession supplies costs were $18.4 million for the fourth quarter of 2007 compared to $17.2 million for the fourth quarter of 2006. Our concession supply cost is a percentage of concession revenues increased approximately 65 basis points to 15.5%. For the quarter, salaries and wages increased as a percentage of revenues to 10.7% from 10.1% in 2006. This increase was primarily a function of the relative revenues per screen in new theatres and changes in minimum wage. Adjusted EBITDA for the quarter was $83.8 million resulting in a 21.3% adjusted EBITDA margin. The domestic adjusted EBITDA was $72.2 million, a decrease of approximately 12.8%. Adjusted EBITDA was impacted by the modification of our advertising agreements with NCM. In 2007, we picked up income of $6.5 million from NCM versus $10.3 million in 2006. Our international adjusted EBITDA increased 35.6% to $11.6 million. Net loss before taxes for the quarter was $11.6 million. Included in net loss is an impairment charge of $26.2 million. Impairment is mainly in the fourth quarter and flips into non-cash on a monthly expense. Also, included in the quarter was that of $1.9 million loss on the early retirement of debt relating to the repurchase of $22.2 million aggregate principal amount at maturity of our 9 ¾% senior discount notes.  As I previously discussed and Cinemark incurs a higher level of impairment and appears that it is the result of measuring impairment on an individual theatre basis present in an aggregate basis. The aggregate basis allows companies to have exchanges in their portfolio of asset. Cinemark complies with the impairment cash ratio to individual theatres and we were not able to average increases against decreases therefore any change at the theatre level may generate an impairment charge in the amount of maybe a small change. The impairment charges recorded a primarily cause of goodwill relating to the write-off in basis that occurred in 2004 to the Cinemark asset and in 2006 to our Century asset base. As I discussed in our 2nd quarter earnings call during which we reported an income tax benefit, the benefit was the result of interim period income tax allocations required end of gap which began to reverse in Q3 and the final reversal occurred in Q4 resulting in an abnormally high effective tax rate for the current period. This interim period income tax fluctuation is primarily caused by a combination of impairment charges coupled with the 1st quarter gain recognized upon NCM’s IPO. As a result, effective tax rate was a three months ended December 31, 2007 was 364.8%. Net losses after taxes was $53.8 million for the three months ended December 31, 2007 primarily driven by the impact of the income tax allocation and impairment charges of $26.2 million. Because of the fluctuations in income taxes quarter to quarter, it is best to look at our calendar year income tax rate to gain perspective. For the year, our effective income tax rate was 55.7%, adjusting for approximately $67.7 million of impairment charges relating to goodwill which are not deductible for tax purposes. The company’s effective tax rate for the year ended December 31, 2007 would have been approximately 41.7%. Moving to our results for the full year, we increased our admission revenues to 43% to $1.09 billion and our concession revenues 37.4% to $516.5 million. As a result, our total revenues increased $462 million to $1.68 billion, a 37.9% increase. The increases were primarily related to a 19.3% increase in the attendance, a 20% increase in average ticket price and a 15.2% increase in concession revenues per patron; all of which were favorably impacted by the acquisition of Century Theatres, Inc. that occurred on October 5, 2006. On a pro forma basis, the company’s total revenues for the year ended December 31, 2007 increased 4.4%, admission revenues increased 5.6% and concession revenues increased 6%. The increases were due to increases in average ticket price and concession revenues per patron, offset by 1.3% decline in attendance. Adjusted EBITDA for the year ended December 31, 2007 increased 38.8% to $376.9 million from $271.6 million for the year ended December 31, 2006. Our adjusted EBITDA margin increased by approximately 15 basis points to 22.4% for the year ended December 31, 2007. On a segment basis for the year, our domestic operations generated revenues of a $1.35 billion up 44.3% compared to 2006 and adjusted EBITDA increased from 44.2% to $309.8 million preferably impacted by the acquisition of Century Theatres. Our international operation has also performed very well in 2007 with revenues improving by 16.7% to $333.6 million and adjusted EBITDA increasing 24.9% to $67.1 million. Based on the market clearing, we feel we will continue to have opportunities to realize incremental gains and revenue and profitability from the expansion in the size of our theatre network. Net income for the year ended December 31, 2007 was $88.9 million compared to net income of $800,000 for the year ended December 31, 2006. Net income for 2007 fiscal year benefited from a $129.6 million after tax gain and the National CineMedia IPO was impacted by non-cash impairment charges of $86.6 million, the majority of which resulted from our amendment of offering agreement with NCM. Looking briefly at our balance sheet, our cash position was $338 million as of the end of 2007; long-term debt was $1.52 billion resulting in a net debt at yearend of approximately $1.2 billion. Coupled with our strong adjusted EBITDA, this level of net debt results in a relatively low leverage ratio in which we are accountable. In December 31, 2007, our total domestic screen count was 3,654 screens, 12 of which are in Canada. During the year, we opened 13 theaters with 201 screens, closed 2 theaters with 34 screens and closed 5 theaters with 36 screens. As of December 31, 007, the company had signed commitments to open 10 new theaters with 128 screens in domestic markets during 2008 and open 5 new theaters with 78 screens in domestic markets subsequent to 2008. Our total international screen count at December 31, 2007 was 1,011 screens. During the year, we opened 7 theaters with 56 screens and closed one theater with 10 screens. As of December 31, 2007, the company had signed commitments to open three new theaters with 19 screens in the international markets during 2008. In 2007, we invested $146.3 million in capital expenditures including $113.3 million on new construction and $33 million in CapEx maintenance. Included in the CapEx maintenance was $2.8 million related to the rollout of NCM’s digital distribution technology to the Century Theatres and approximately $3.2 million related to the deployment of our new point-of-sale system. The point-of-sale system is designed to expand the information we gather from our theaters and includes networking for our digital rollout. We expect a gross total CapEx for disposition proceeds for fiscal 2008 to be $145.2 million which includes approximately $43 million for CapEx maintenance. This will be offset by reinvestment of approximately $22 million from proceeds of the sale of assets that have recently occurred. The company declared this second full quarterly dividend on February 26, 2008 of 18 cents per common share. The dividend will be paid on March 14, 2008 to stockholders on record on March 6, 2008. In 2007, we paid a partial dividend of 13 cents during the 3rd quarter which is prorated for the timing of our IPO and paid our first full dividend in December of 18 cents per share. Our annual dividend is 72 cents per share. During the year ended December 31, 2007, we repurchased approximately $332.1 million aggregate principal amount of our 9% senior subordinated notes primarily realizing the proceeds from the NCM transaction and repurchase $69.2 million aggregate principal amount at maturity or our 9 ¾% senior discount notes realizing the proceeds from IPO. We reported loss in early retirement of debt of approximately $13.5 million related to these notes repurchases. While we intend to continue to use the proceeds from our IPO to pay down our long-term debt, given the current state of the debt markets, we are proceeding at a slower pace than originally anticipated. We intend to opportunistically utilize the funds over to reduce our debt while still optimizing our debt structure. In closing, I would like to say that we are looking forward to the film plays for the remainder of 2008 which combined with Cinemark’s operational strategy should continue to produce attractive returns and drive the increase of cash flow. We will now be glad to answer your questions.
Operator: (Operator Instructions)  Your first question comes from the line of Hunter DuBose from Morgan Stanley.
Hunter DuBose - Morgan Stanley:  My question, they are few for you actually. The first one is I wanted to verify that the number of signed contracts from these screen openings for 2008 was 128 domestically and 19 internationally. Some of those are the correct numbers, can you comment on the extent to which the actual number, total screen openings for the full year may deviate from that number perhaps you can compare the number of signed contract at this point in 2007 relative to the full number of screen openings for 2007 then that will give us an idea of how it would add.
Robert Copple: On the 128 domestic, I think there are two or three more theatres that might well be in the end of 2008 so I think we will open up potentially a few. Last year, we opened up 201 screens. I think that number could be slightly down but it will be similar but domestically few screens could be add on. As it always happens, we also look at some of the screens that we anticipate opening this year or in the next year and the timing of our screens can be important for you guys. We foresee about 50 screens opening toward the latter part of Q2 and then about 80 of the screens opening towards really the end of the year so we are definitely weighted towards the end of this year. If you look at the timing of our screens because the majority opening in Q4 and then that our opening for that are again towards the end of Q2. Internationally where we have said I think it is 19 screens. We do have probably actually another 19 to about 25 screens that could roll into this year. They are signing contracts. There are contracts we are still working on. So, that number could go up slightly or the international as well and again it just depends on the timing of the project when it is ultimately built but those primarily also would be towards, the existing 19 screens that we have committed to would be towards the 3rd quarter and then these other screens would probably would be towards the fourth quarter if we make it this year.
Hunter DuBose - Morgan Stanley:  Okay and my next question relates to your other revenue line, other revenues for the quarter came in about $6 million or $7 million ahead of where we are expecting and maybe simply that I get the pro forma adjustments for 4Q06 wrong so I was going on the wrong basis but I wanted to see if there is anything unusual with other revenues for this quarter that may not be repeated in 4Q08.
Robert Copple: I did not see anything unusual. In Q4 is when we generally recognized maybe a bigger piece of the revenues related to gift cards and those types of items but it is not inconsistent with prior years I mean that number that is probably growing, is we have added the Century Star kit to our gift card network and supersaver network. We have increased the total sales of that pricing somewhere from that. There are things that occurred and this year, internationally, we have fairly starting quarter in our advertising in Q4, so that might have been slightly higher than somewhere we have anticipated. We will expect that to continue though.
Hunter DuBose - Morgan Stanley:  Okay, thank you very much.
Robert Copple: Sure.
Operator: Your next question comes from the line of Eric Handler from Lehman Brothers.
Eric Handler – Lehman Brothers: Hi, thanks a lot. If I heard you correctly, I think you said you expect the 2000 box office to be flattish, flat. Does that include the Latin-American box office as well and if not what is your outlook for the Latin-American box office and as well, if you do have a flat box office this year, do you think you can grow your adjusted EBITDA in the year over year basis?
Robert Copple: Good question there. On the box office, during the international let us say on the available movies and its related performance would be somewhat somewhere to the US so when we say flattish box, we have argued this, international could be similar. We have a better opportunity to grow internationally I think than we do domestically of the same box because you could have some international films that show up into the marketplace that will play well in those markets.  I think our expectations are that it could be a highlight ahead in growths internationally than what there would be domestically based on the products that is out there. We, Eric you could tell from our speech, we did not provide guidance on EBITDA. Clearly with flat box that then they slightly better box in international when you run through your models it will show some conclusion on the EBITDA that the good part is we obviously we are increasing prices but that is still reflected in total box.  We do not have the NCM yet that we have last year but we loss a fair amount of revenue and EBITDA because of the change in the NCM contract. This year, hopefully those revenues will continue increase and more so that there will have, that the dividend should increase so that is from a pure cash flow and EBITDA perspective that will help settle abit.
Eric Handler – Lehman Brothers: Okay and just work at what was your share count for the fourth quarter?
Robert Copple: The fully, I will say the basic share count, I think was about $106.7 million and the fully diluted was about $109 million.
Eric Handler – Lehman Brothers: Thanks a lot.
Robert Copple: Sure.
Operator: (Operator Instructions) Your next question comes from Barton Crockett from JP Morgan.
Barton Crockett – JP Morgan Securities, Inc.: Okay, great. Thanks for taking the question. I was wondering first if you could talk a little bit, if I heard you correctly I think you said that you plan of financing to setup the roll digital projectors through your entire circuit over 3 to 4 years so I read that could be international and domestic, if I heard you correctly. I just want to clarify that and then if you could comment on generally what you see about the international versus domestic rollout of digital and 3D. I think the general perception is that international is behind the US and if that is what you are seeing maybe that should just deviate from that in your circuit.
Alan Stock: That comment toward the rollout would have been more reflective toward the US because that is the negotiations currently with DCIP but we do anticipate and I think, right now the whole international objective is really waiting until we can get the US answer and get it rolling and once it is going however I would comment I think once the US starts the process and begin that rollout, I think international will follow in a relatively quick manner I think you kind of get the whole thing setup and the parameters behind it and get it financed. The bigger question perhaps internationally comes on the financing side, not as much on the studio side so we have to figure out. There is a lot of different ramifications internationally, different countries and different issues you have to deal with so that is going to have to be taken into consideration in each country by country and as we begin to roll this thing out.
Barton Crockett – JP Morgan Securities, Inc.: Okay, great and then keeping in what kind of this international focus, can you give us a sense of what the impact of foreign exchange was on your international revenues?
Robert Copple: Really the only the country that had a [inaudible] things, I think, is Brazil where the Real obviously straightened and fortunately continues to, generally. It wasn’t a really significant impact I think on let us say I have a number here I think internationally for the year, I guess with the Real, I am doing a quick calculation, would probably be maybe 20% of the benefit maybe or EBITDA staying a little higher because again the only country we had that was benefiting was Brazil and sort of impacted all of our local and costs as well as revenues are in local currency so it is just purely an exchange, change as you pull it up there is no impact of the exchange rate itself on the operations so it is just a conversion but I think with the Real it would probably be in that range.
Barton Crockett – JP Morgan Securities, Inc.: Okay and maybe I will follow up with you more offline on that. In terms of the DCIP thing, you mentioned in a fair market as one potential kind of issue. On the other hand, we have Jeffrey Katzenberg in our DreamWorks saying that he thought the deal could be wrapped up in 30 to 45 days, that was like a week or so ago. Do you have any thoughts I mean what the recent kind of turbulence is in the market that you’re seeing anything like kind of make this more difficult in the flipside? What do you think about Ketzenberg’s idea that could be wrapped up pretty quickly in the financing plan?
Alan Stock: I do not know how we comment totally on where to go. We think the 30 to 45 days perhaps that is realistic on his side of the equation, negotiate with the studios and finish that piece up. Of course, the financial markets are they are just scary right now and so you have to figure out ways but we have been told by some of our banks and people that there are and they are still are optimistic that there is some ways of finances and continue on the plan to get this rollout going as we stated in the 2nd half of this year. So, I know Jeffrey is the optimist about it and we all hopeful with him that can get this going as quick as possible and everybody is focused on trying to meet as quickly as we can the deadlines of their opponent. So, again I do not know how to answer the financing side to you really get the thing out there and start figuring out where it is going to go.
Barton Crockett – JP Morgan Securities, Inc.: Okay and to a number of questions if we can quickly here. The 41.7% effective tax rate, do you think that is sustainable into 2008?
Robert Copple: I mean that is really where we would feel like our effective tax rate is. Again, really on a gap basis, it is going to roll by other impairment charges or some non cash charges from a real cash point of view that is basically rated by the close or stayed intact.
Barton Crockett – JP Morgan Securities, Inc.: Can you break up domestic and international concession?
Robert Copple: You need an individual, how about I can give you those offline, I am sorry I just did not have the breakdown.
Barton Crockett – JP Morgan Securities, Inc.: Okay, that is great.
Robert Copple: Yes, I can give that offline if you want and obviously that will be on 8-K when it comes out.
Barton Crockett – JP Morgan Securities, Inc.: Okay, great. Thanks a lot.
Operator:  And you have a follow up question from Hunter DuBose from Morgan Stanley.
Hunter DuBose - Morgan Stanley:  Hi, guys. Thanks for taking the additional questions. On the subjects of the K, can you let us know when it is likely to be out?
Robert Copple: Oh, I am sorry, right now I still say that will be around the due date which is March 31.
Barton Crockett – JP Morgan: Okay, great and can you walk it through the domestic and international breakout from screen openings and closings for the quarter?
Robert Copple: I think we announced we have another piece of paper. I got for domestic like 44; we got 4 out of 62 and then so 4 theatres, 62 screens. Internationally, I had 2 and 21 screens and then I closed domestically 2 theatres and 14 screens.
Hunter DuBose - Morgan Stanley:  And zero for international?
Robert Copple: Yes, zero for international.
Hunter DuBose - Morgan Stanley:  Okay, and my next question is when we look at G&A for 4Q07, it look like it was pretty much flat year on year to 4Q06 and it does not appear that it have any synergies from the Century screen acquisition was rolling through there. Can you give us any sort of broad commentary on what kind of additional synergies we might be seeing if at all going into 2008?
Robert Copple: If you look at, if I just had a Century G&A and Cinemark’s G&A and then compare that to our current G&A, I think we reduce G&A cost about $7 million year over the year and that was very, I would say very close to what we have targeted, there could be some more savings but we are not going to say there are going to be real substantial.
Hunter DuBose - Morgan Stanley:  Great, okay, thank you very much.
Operator:  And there are no further questions at this time.
Robert Copple: We greatly appreciate everybody’s participation and looking forward to our next call.
Alan Stock: Thank you.
Operator:  Ladies and gentlemen, this concludes today’s conference. You may disconnect at this time.